Operator: Good morning, and welcome to the Sotera Health's First Quarter 2024 Conference Call. [Operator Instructions] Please note this event is being recorded. I would like now to turn the conference over to Vice President and Treasurer, Jason Peterson. Please go ahead. 
Jason Peterson: Good morning, and thank you. Welcome to Sotera Health's First Quarter 2024 Results Call. You can find today's press release and accompanying supplemental slides on the Investors section of our website at soterahealth.com. 
 This webcast is being recorded, and a replay will be available in the Investors section of the Sotera Health website. On the call with me today are Chairman and Chief Executive Officer, Michael Petras; and Chief Financial Officer, Jon Lyons. During the call, some of our comments may be considered forward-looking statements. The matters addressed in these statements are subject to risks and uncertainties that could cause actual results to differ materially from those projected or implied. 
 Please refer to Sotera Health's SEC filings and the forward-looking statements slide at the beginning of this presentation for a description of these risks and uncertainties. The company assumes no obligation to update any such forward-looking statements. 
 Please note that during the discussion today, the company will present both GAAP and non-GAAP financial measures, including adjusted net income, adjusted EBITDA and adjusted EPS, net debt, adjusted EBITDA margin, segment income margin and net leverage ratio in addition to constant currency comparisons. A reconciliation of GAAP to non-GAAP measures for all relevant periods may be found in the schedules attached to the company's press release and in the supplemental slides of this presentation. 
 The operator will be assisting with the Q&A portion of the call today. [Operator Instructions]. As always, if you have any questions post call, please feel free to reach out to me and the Investor Relations team. I will now turn the call over to Sotera Health Chairman and CEO, Michael Petras. 
Michael Petras: Good morning, everyone, and thank you for joining Sotera Health's First Quarter 2024 Earnings Call. Today, we announced both top and bottom line growth compared to the first quarter of 2023 with growth coming from all 3 of our business units. Jon will provide more detail on our financial results in a moment, but first, I want to highlight a few items from our first quarter results. Total company revenues increased 12.5% and adjusted EBITDA increased 13.7% compared to the first quarter of 2023. We delivered adjusted EPS of $0.13 for the quarter, in line with the same period last year. 
 Sterigenics, our largest reporting segment, delivered another quarter of top line growth of 4.1%. Volumes remained somewhat soft as customers continued to work through supply chain challenges. Nordion, our other reporting segment within the sterilization services business, delivered 181% year-over-year revenue growth. 
 As you may recall, first quarter 2023 was historically light for Nordion and the large year-over-year increase is driven in significant part to the timing of Cobalt-60 harvest delivery schedules from our suppliers, which are large utilities. Nelson Labs, our lab testing advisory services business, delivered top line growth of 10.8% compared to the prior year. This is the second consecutive quarter of year-over-year revenue growth in Nelson Labs, led by continued strong performance in our expert advisory services business. Core lab testing volumes are down year-over-year, driven primarily by the extension of the deadlines for the European Union Medical Device Regulations as expected. 
 This morning, we are reaffirming the outlook that we communicated in our last earnings call. As a reminder, our 2024 outlook calls for both revenue and adjusted EBITDA growth in the range of 4% to 6% versus 2023.  The variability within our full year revenue range will be largely driven by the timing and magnitude of the market recovery in both Sterigenics and Nelson Labs. 
 Now I would like to give an update on some recent ethylene oxide developments. With respect to the lawsuits that were filed in California, we are confident that Sterigenics is not responsible for causing the alleged illnesses. Based on what we know so far, these new lawsuits raise basically the same issues as the EO claims previously filed by plaintiff firms and other jurisdictions this time in the context of the burden facilities and in particular circumstances of each of the new plaintiffs. 
 We believe the evidence will establish that Sterigenics has operated its facilities [indiscernible] safely and in compliance with all applicable regulations. We operate safely to sterilize vital medical products and devices and have consistently complied with and outperformed applicable regulations regarding our emissions. As the local regulator South Coast Air Quality Management District has consistently reported ethylene oxide levels in the surrounding residential communities are within background levels found in areas without nearby sterilization facilities. 
 As long as we were able to put on a full and fair defense, we are confident in the judicial outcome. Although we acknowledge the challenges presented by lawsuits involving cancer and other serious diseases, we do not believe that ethylene oxide litigation will have a long-term material impact on the company. We have posted a comprehensive list of FAQs that is available under the Ethylene Oxide section of our investor website, and we will update that periodically with pertinent information. Please recognize that we are in active litigation, we will not provide additional commentary beyond what I stated here and was included in our FAQs and SEC filings. 
 As many of you know, in March, the EPA finalized the updated national emission standards for hazardous air pollutants, commonly referred to as NESHAP. Although the updated requirements will be very challenging for the sterilization industry to meet we believe that our significant and proactive investments across our U.S. ethylene oxide facilities in EPA and that's a tool for permanent total closure technology and other state-of-the-art emission controls have decisions Sterigenics to be able to comply with the FDA standards within the time frame specified by the final rule. We do not believe a material amount of additional CapEx beyond our current plans will be required to meet the finalized regulations. 
 Despite these challenges, let us not forget our mission: Safeguarding Global Health. We help to ensure the safety of health care and protect the lives of millions around the world. One example of this is the role that Nordion plays in the treatment of brain cancer which is referenced in our earnings deck. We take our role in health care seriously, and our team is steadfast in our commitment to living out our mission day in and day out. Now Jon will take us through the financials in more detail. 
Jonathan Lyons: Thank you, Michael. I will begin by covering the first quarter 2024 highlights on a consolidated basis and then provide some details on each of the business segments, along with updates on capital deployment and leverage. I will then conclude with additional details on our 2024 outlook.
 On a consolidated total company basis, first quarter revenues increased by 12.5% as compared to the same period last year to $248 million. This equates to an 11.8% increase on a constant currency basis as we experienced a total company foreign currency tailwind of just under 1%.  Adjusted EBITDA increased by 13.7% compared to the first quarter of 2023 to $112 million. 
 Adjusted EBITDA margins were 45.1%, representing a 50 basis point increase from the first quarter of the prior year, the majority of which is explained by higher Nordion revenues versus unusually light revenue in Q1 2023. Our interest expense for the quarter was $42 million versus $29 million in Q1 of 2023. 
 The increase in interest expense was driven by higher interest rates and having a full quarter of the $500 million term loan that was put in place during Q1 of 2023. Adjusted EPS was $0.13 per share, which was flat to the first quarter of 2023 as improved operating results were offset by increased interest expense. On a GAAP basis, net income for the first quarter of 2024 was $6 million or $0.02 per diluted share compared to net income of $3 million or $0.01 per diluted share in first quarter 2023.
 Now let's take a closer look at our segment performance. In the first quarter, Sterigenics delivered 4.1% revenue growth to $166 million. Revenue growth drivers for the quarter included favorable pricing of 4.9% and a favorable impact from foreign currency of nearly 1%, which was partially offset by unfavorable volume and mix of 1.6%. Segment income grew 3.6% to $86 million, driven by favorable pricing and changes in foreign exchange rates, partially offset by unfavorable volume and mix as well as inflation. 
 Nordion's first quarter revenue increased 181% to $24 million compared to the same period last year, while segment income increased to $11 million. As a reminder, Nordion had an abnormally low first quarter in 2023. Increases in Nordion's revenue and segment income versus first quarter 2023 were driven by favorable volume and mix related to the timing of reactor harvest schedules. 
 Nelson Labs' first quarter 2024 revenue increased by 10.8% to $58 million driven by favorable volume and mix as well as pricing. Segment income increased by 8.8% to $15 million, also driven by favorable volume mix as well as prices. Segment margin rates declined slightly versus Q1 of 2023 due to a shift in mix as we experienced strong growth in expert advisory services. 
 Now I'll provide details on liquidity, net leverage and capital deployment. The company's liquidity position continues to remain strong. As of Q1 2024, we had over $660 million of available liquidity, which included more than $260 million of unrestricted cash and $400 million of available capacity under our revolving line of credit. We delivered positive operating cash flow in the quarter, although it was lower than normal, primarily due to the payout of the Georgia settlement. 
 Capital expenditures for the first quarter 2024 totaled $35 million. As we have communicated previously, our capital expenditure priorities are focused on Sterigenics' capacity expansions and U.S. EO facility enhancements as well as Nordion's cobalt development programs, which are critical to the long-term growth of the company. Outside of the 3 current Sterigenics expansion programs, we do not expect material incremental capacity expansions in the near term for Sterigenics. 
 Free cash flow was slightly negative in the quarter given the lower operating cash flow performance I previously mentioned. We do expect to generate positive free cash flow for the year. We finished the quarter with a net leverage ratio of 3.8x, within our target range of 2x to 4x. 
 As Michael mentioned, based on the first quarter and what we see for the remainder of this year, we are reaffirming the outlook we provided in February 2024. To recap, for the full year 2024, we expect total revenues and adjusted EBITDA to grow in the range of 4% to 6%.  As stated during our Q4 2023 earnings call, we expect to be at the lower end of our long-term stated price range of 3.5% to 5%. 
 Full year 2024 adjusted EBITDA margin rates are assumed to be similar to last year. In Q2, we expect year-over-year margin rates to be down modestly as a result of a decline in Nelson Labs' margin rates due to the change in mix I mentioned earlier. We do expect Nelson segment income margin rates to improve sequentially throughout the year with full year margin rates approaching 30%.  
 From a cadence perspective, we expect slightly less than 45% of full year total company adjusted EBITDA to occur in the first half of the year. In Sterigenics we still anticipate slight volume and mix recovery beginning in the second half of 2024. At Nordion, we continue to expect the year to be more balanced than last year with approximately 35% of revenues to occur in the first half of the year. Also, we now see Russian cobalt supply risk to be between 0% and 1.5% of total company full year revenue. 
 For Nelson Labs, we expect volume and mix to be relatively flat on a year-over-year basis for the remainder of the year. We expect core testing volumes to improve while we lap some large projects in expert advisory services, which supports our expectation for sequential margin improvement. 
 We continue to expect interest expense between $170 million and $180 million. And effective tax rate, our adjusted net income in the range of 31.5% to 34.5%. Adjusted EPS is expected to be in the range of $0.67 to $0.75. A fully diluted share count in the range of 283 million to 285 million shares on a weighted average basis. Capital expenditures in the range of $205 million to $225 million. As previously communicated, we expect CapEx to step down in '25 and '26, resulting in an acceleration of free cash flow generation. This is a high priority for the company. Our guidance does not assume any M&A, and we still anticipate net leverage to improve during the year. I'll now turn the call back over to Michael. 
Michael Petras: Thank you, Jon. As we wrap-up our prepared remarks, I want to reemphasize that Sotera Health remains well positioned for growth throughout 2024. Our global network of 63 facilities provides our customers with excellent service day-in and day-out, and this team is proud of the critical role the company plays in the health care community. At this point, let's open the call up for questions-and-answers. 
Operator: [Operator Instruction] The first question is from Patrick Donnelly with Citi. 
Patrick Donnelly: Michael, maybe just on the kind of overall backdrop here, can you talk about what you're seeing on the volume side? I know that the volume headwinds have been lingering a little bit in the past few quarters. It seems like Nelson Labs, maybe you saw a little bit of an improvement. Sterigenics, maybe it's lingering a little bit. Can you just talk to what you're seeing and then the expectations and what you're hearing kind of real time as we work our way into 2Q and 3Q here? 
Michael Petras: Patrick, as we look at the business, pretty much consistent with what we stated on our last call. We expect a slight improvement as the year progresses. We are not seeing things get worse in neither Nelson or Sterigenics. On the Nelson side, we called out, we continue to do very well in Expert Advisory Services business. One of our business units, RCA continues to perform very well, which has negative mix and really they're helping quite a bit customers that are having challenges with regulators. 
 That's where they're brought in, and they're doing a really good job in executing on that. We're seeing stabilization on the Nelson volumes. And we expect that to improve over time with some of the RCA projects starting to slow down because of nonrepeat nature. And that's one of the things we called out in our prepared remarks. 
 On the Sterigenics side,  it's been relatively stable with some slight improvements, and we'll continue to monitor that. We feel confident in our guide for the rest of the year and the outlook. But it's not getting materially worse. There's some categories sequentially, bioprocessing, lab ware, those things have gotten better sequentially, but they're still significantly down over prior year. 
 General Hospital has been the kids area, we've seen an improvement in that as inventory has started to stabilize and our customers' burnout rate -- burndown rate, if you will, is kind of stabilizing as well. So overall, we feel good about, where we put the guide out the rest of the year with slight improvement as the year progresses. 
Patrick Donnelly: Okay. That's helpful. And then maybe just on the kind of litigation side, obviously, our California piece picked up, I guess, a month ago or so. Can you just talk about generally how you're thinking about that? Just trying to put some trends post around the expectations. I'm sure timing is unserved and these things take a long time, as we all know. But any way to just frame this piece up so we can think about it a little cleaner. 
Michael Petras: Yes, Patrick, as we stated in the prepared remarks, we've got FAQs out there. There's a lot of information trying to be responsive to the questions that come in. It's very early in the game. There's been 2 suits filed, about 18 claims in total, similar in nature to what we've seen in other jurisdictions, but these ones are specifically related to Vernon. 
 And I just called your attention to some remarks that we've made that the regulators have been monitoring for the last several years the emission levels in their background levels, which means they're equivalent to what other areas that do not have sterilization facilities around it. We continue to perform very well in that facility. We play a critical role. We sterilize, I think it's in excess of 40 million products, 45 million products a year. 
 That's a really critical role in health care, and we continue to focus on that. Our lawyers will work through the litigation aspect of it. But that's all we know at this point in time. It's very early in that discussion.  We feel confident we were able to put on a defense as we showed in our second trial in Illinois and will be victorious. 
Operator: The next question is from Sean Dodge with RBC Capital. 
Sean Dodge: Maybe just on the final NESHAP requirements. I guess with the final rules out now, were there any meaningful changes in the final versus what was proposed initially? And then, if you could just kind of give us an update on how far along you all are in completing those facility enhancements. How much time is still up there? And how much do you have left to spend to complete all that? 
Michael Petras: Yes. Thanks, Sean, for the question. As we stated this year, we would expect to spend close to $40 million this year on the facility enhancements. There will be a tail into 2025 that will come down in 2025, but we should be finishing up next year. I'm really pleased with what the team has done in this area. Our leadership here has clearly been demonstrated. You'll see that play out over the next several months and the next couple of years. 
 These are very challenging rules. I don't want to understate that. The industry is going to have some big challenges, but I feel really good and the team does. As a matter of fact, Jon and I just had a deep-dive with the team earlier in the week on the progress we're making through. Most of the facilities in the U.S. have had either they're completed or they've got a significant portion of it in process already. 
 Some of them, Sean, as I've stated in previous calls, remember, we like to go fast, but some regulators, this is just not a priority for them. And they're holding up and following up on permits and things of that nature just because it's not the highest priority for them in their jurisdictions. But we feel good about where we're at. The rules are challenging, though, I want to make that really clear, but we feel good about our leadership position here.
 One of the things I called out multiple times to this group is permanent total closure [ method 204 ]. That's something that we thought may be the rule and it is in the rule. We're pretty far along on that. There will be challenges on ongoing monitoring that we're going to have to work with the regulators around and understand exactly how to interpret the rules. But overall, this company is going to be in this business, and we'll continue to perform and take care of our customers and making sure we play a critical role in health care. 
Sean Dodge: Okay. Great. And then maybe a modeling one on SG&A. That was up a lot, both year-on-year and sequentially in the quarter. Is there anything notable to call out there? And how should we be thinking about kind of SG&A run rate over the remainder of the year? 
Jonathan Lyons: Yes. I think, Sean, there's probably some modeling that we need to look at off-line. I'm having a little trouble tracking all your numbers. There's nothing really concerning in here for us. We've got normal merit coming in. We've got some variable comp coming in, but nothing huge that I would call out for you. 
Operator: The next question is from Casey Woodring with JPMorgan. 
Casey Woodring: Great. First one is just on Nelson. Can you quantify what the RCA dilution looks like? And just if your targeted mid-30% margin for that business over the longer term still stands? And maybe how should we think about that margin trajectory off of the 30% that you're going to do this year in Nelson? 
Michael Petras: Yes. Casey, this is Michael. We won't get into details on RCA. It's been a drag on mix, but that business margin rate is improving. They continue to get operating leverage and they continue to grow the top line in that business. We -- as we said this morning, we feel that the margins for Nelson, as you look at the rest of the year based on the mix profile, we see it to be slightly less, and they're approaching 30%, if you will. 
 We still believe that this business is in the mid-30s long term. And we will see sequential growth as the year progresses as well. That's the other thing. I want to make sure you're clear on it. 
Casey Woodring: Got it. And then maybe for my follow-up, just can you give us a sense of the magnitude of margin step-up in Sterigenics here between the first and second half given the volume recovery assumed? And then what should we assume for pricing in Sterigenics in the back half? And would that be a good jump-off point for next year on the pricing side? 
Michael Petras: Yes. Thanks, Sean. We will see -- as this business gets more volume, you'll see operating leverage fall through to P&L. We're continuing to get price in that business because of the criticality of our services and the high value we bring to our customers. We said across the company, we're 3.5% to 5% price per year. We said 2024 we're going to be on the lower end of that range because of some timing of Nordion contracts. We feel Sterigenics will be normally where they typically are, which is in the middle of that range, and that's what we expect for 2024. Thanks, Casey. 
Operator: The next question is from Luke Sergott with Barclays. 
Unknown Analyst: This is [ Sam ] on for Luke. So first off on NESHAP regulations, I just wanted to touch on kind of the expectations versus what actually happened in terms of timing of implementation and kind of the severity of the regulations. You mentioned that they are challenging. And I'm wondering if you are aware of how competitors will kind of react to that? Will they have issues complying? And does that kind of present an opportunity for Sterigenics to take share or lead to more outsourcing among customers? 
Michael Petras: Yes. Thank you. I think some of the monitoring protocols and the timing that surround those are a little more challenging than the proposed rule, that ultimately became the final rule. I think that would be one thing to call out, and we're working with the regulators to make sure the industry in total understands the expectation around that. 
 I would say that would be the one area we call out. We knew what -- we suspected the PT would come out. We've talked about that before some of the destruction efficiencies are challenging for overall. But again, we feel confident where we're at. It doesn't mean it's easy for us either, but we feel confident about our ability to meet those time lines that are put out in the rule. 
 As far as the broader industry, lots of discussions going on. It will be fascinating to watch this play out over the next 6 months to the next year. There are several smaller players that are questioning are they going to make this level of investment. We're hearing through customer engagements. We also have several customers coming to us saying, hey, listen, we're not exactly sure where we are in this. And we don't know, if we should be doing business with these smaller guys and just maybe stay with the bigger players that have more investment and more capabilities around this area. 
 So I think it's a wide range of outcome still today because it's still fresh and early. And I'm not sure everybody even understands exactly. They may not be as close to it as a company like ours that really understands these rules intimately and how challenging they may be. I think that will play out over the next several months. But again, I want to reiterate, we feel confident where we're at. That doesn't mean it's going to be simple, but we feel confident, where we're at and the investments we've made, and we do not see a material increase in incremental CapEx to comply with these final rules that have been published. 
Unknown Analyst: And then on Nelson Labs core testing, you've mentioned that you expect an improvement throughout the year. And then you've also mentioned before about kind of the 3 main headwinds, the shifting compliance headlines in EU, the macro pressures on smaller customers and then sterilization volumes. Just wondering if any of those or a reversal of those headwinds are expected, that's leading to those improvements? And then maybe sizing those headwinds as well. 
Michael Petras: Yes. As sterilization volumes increase, we expect that to fall through routine testing, which we're seeing some of that within the Nelson business. In the EU, I think we mentioned last quarter that it will be through the second quarter, we'll have that headwind on the EU medical device regulation. We'll get through that headwind at the end of the second quarter. 
 And then on the macro VC funding, we're seeing a little bit of improvement in that area. But again, we feel that we will see improvement in the Nelson Labs core testing as the year progresses. I just spent several days with that team last week. And the other thing I'm really proud of what that team has done as the service side in the quality reports. 
 As you know, there's been a lot of FDA audits going on, and the team has done a great job and our facilities and our processes play out very well there, but the quality and services just -- is really continues to perform. So really proud of what Joe and the team are doing out there. And just looking at our customer SAT scores, we just looked at those. They went up again in Nelson last year. And looking at the monthly NPS is good. So I feel good about what the team is doing. They're getting the costs in line there to drive some of the productivity and we're hopeful that we continue to see slight improvements in volumes as the year progresses. 
Operator: The next question is from Brett Fishbin with KeyBanc. 
Brett Fishbin: Just wanted to start off on one, can you just provide some updated thoughts on the level of industry capacity that's available in the outsourced sterilization industry across the different modalities. Maybe touching on EO and gamma, just asking that question in the context, I know there's some inventory headwinds that you are weighing on near-term trends. I mean you have 3 capacity expansions that are coming online, but it did stand out to me that you noted on the call that after those 3 projects were completed that you didn't plan on making incremental capacity expansions in the near term? 
Michael Petras: Yes. Hey, Brett, I'll take that on the capacity side. I would tell you, EO capacity is very tight in the United States as well as in Europe, very tight. It continues to be -- as much as you hear the noise around ethylene oxide, let's not forget that 50-plus percent of medical devices according to the FDA are sterilized with EO.  And we are seeing demand needs by our customers, and we anticipate that continuing. 
 So it will be interesting to see how that plays out north and south of the border, because we do have customers that are interested in going south of the border and getting outside the U.S. for some of the sterilization. But overall, I would just tell you, capacity is still very tight on the EO side. 
 On gamma, e-beam, I'd say it's a little more capacity available on a global basis, but still generally a tight supply marketplace, and we'll continue to monitor that as we go forward. For us,  we've got some investments in place that I mentioned that we'll continue and Jon mentioned that we'll carry out throughout this year and into next year. And the team is really doing a lot of work. 
 Mike and his team and Ed and the team over there at Sterigenics are doing a lot of work on how to drive more capacity out of their existing footprint. So there's a lot of work there in operational excellence. We haven't talked a lot about that because the volumes have been down. But I don't want you to lose sight of the fact that the team continues to focus on operational excellence and how to drive more of their existing asset base. 
Brett Fishbin: All right. And then just 1 quick follow-up. I think the biggest topic around Sterigenics and some of the trends has really been around the inventory normalization that's occurred with some customers, both in the U.S. and in Europe. So -- you touched on it really briefly, but maybe just a little bit more color on, if you're starting to see some light at the end of that tunnel in terms of like actual demand starting to be more reflective of underlying volumes and how you see that progressing through the rest of the year? 
Michael Petras: Thanks, Brett. We do see bioprocessing lab were sequentially getting better, but still significantly down double digits over prior year same time period. We're seeing general hospital, as I mentioned just a minute ago, the general hospital category, some of the kit to that, that inventory level is stabilizing. We expect Sterigenics volumes to improve slightly as the year progresses. 
Operator: The next question is from Michael Polark with Wolfe Research. 
Michael Polark: I want to follow-up on that topic. So I see for 4 quarters now, Sterigenics year-on-year volume mix disclosure down 1% to 2%. A lot of discussion on the volume. I would like a better appreciation for the mix piece of this. I guess, I don't know or have a sense for precisely what that means. So what within the unit mix has been unfavorable over the last year or so? And I think, kind of where does that dynamic sit as you look out into the rest of the year? 
Michael Petras: Mike, we're tracking to the same numbers that you called out, down 1% to 2% over the last several quarters. The big categories that have been trained for us, as we've stated on these calls has been really around general hospital kits, in particular. We've called out in some of those areas where inventory levels were pretty high, shortages and supply chain challenges for some of our customers. 
 We're seeing that stabilize and slightly positive. Labware bioprocessing have been down significantly. I think you could see that industry-wide. We've also say that's not a huge category for us, but it's a meaningful category. So we've seen that come down. We've seen other areas like gastro and urology and some of those categories continue to perform well. It just all depends on where the customers in their cycle with inventory and their supply chain challenges. But as I stated on the last call, and we continue to reiterate today, we're not seeing that get worse. We're seeing it stabilize to slightly getting better. 
Michael Polark: Okay. I'm going to drill down on that again. When you say mix, is it product category mix? Is it sterilization modality mix? Is it customer mix? I mean what does mix mean to you when you make that disclosure? 
Michael Petras: Yes. We're talking -- in this case, we're talking about customer mix and the category mix. You're asking specific categories. That's what we're giving to you, but that's generally where it is. We're not seeing shifts in modalities, if that's what your question is. We're not seeing that pressure, that problem. 
Michael Polark: Okay. And for the follow-up, just on the 3 capacity expansions, can you remind me within Sterigenics kind of where are they relative to go-live? What's the time horizon over which they will go live and kind of order of magnitude, how because I know there's been a series of these over the last few years, and I just want to understand the 3 that are left in order of magnitude, how big are these expansions? 
Jonathan Lyons: Thanks for the question. 3 as you mentioned, 1 is going live this year, should be coming up in the next quarter or so. And then we have the 2 greenfields, 1 will come live late this year, early next. And then the other one, end of '25. 
Operator: Ladies and gentlemen, there are no more questions registered at this time. The floor is back to you for any closing remarks. 
Michael Petras: Okay. Well, we thank everybody for taking the time this morning to join our call. We look forward to see many of you at our upcoming investor conferences. In the meantime, if you have any questions, feel free to reach out to Jason. Thank you, and have a good day. Bye-bye.